Constantin Baack: Good afternoon and good morning, everyone. This is Constantin Baack, CEO of MPC Container Ships, and I’m joined by our Co-CEO and CFO, Moritz Fuhrmann. I would like to welcome you to our Q4 2024 earnings call. Thank you for joining us to discuss MPC Container Ships’ Fourth Quarter and 2024 Earnings. This morning, we have issued a stock market announcement covering MPCC’s fourth quarter results for the period ending December 31, 2024. The release as well as the accompanying presentation for this conference call are available on the Investor and Media section of our website. Please be advised that some of the material provided and our discussion today contains forward-looking statements and indicative figures. Actual results may differ materially from those stated or implied by forward-looking statements due to the risk and uncertainties associated with our business. Before we guide you through the Q4 earnings call presentation, let me share some initial reflections on the past quarter and the year 2024. We’re very pleased with, or to report another solid performance, and a strong quarterly result today, despite prevailing macroeconomic and geopolitical uncertainties. Overall, Q4 2024 has been another rock solid quarter for MPCC, both financially and operationally, rounding off a really good year, 2024. During 2024, we have taken several strategic steps as we have continued to execute on our strategy of selective fleet renewal, including retrofits, buying, selling, and thereby optimizing our fleet profile, making use of market opportunities as they arise, both in terms of vessel sales and acquisitions, but also in terms of making use of attractive funding opportunities, for example, raising our sustainability-linked senior unsecured bond. And at the same time, we have maintained a strong and highly flexible balance sheet. And very importantly, we continue to reward you, our shareholders. With that said, I’m happy to hand over to, Moritz.
Moritz Fuhrmann: Thank you, Constantin. And also from my side, good morning and good afternoon to everyone. As usual, we have, split the presentation, in three parts, the highlights, the market section, and the outlook. Kicking off with the highlights, we continue, as Constantin has just mentioned, to post strong results both from a financial and operational perspective. While the full-year revenue was US$524 million, adjusted EBITDA came in in-line with the last quarter at US$72 million for the fourth quarter and US$325 million on a full-year basis. The container and chartering markets remain quite favorable as we continue to take advantage of the prevailing market environment. We have further increased the employment coverage in-line with our long-term chartering strategy. And as a result of that, the backlog now stands at around, US$1.1 billion, with 92% and 64% coverage for ‘25 and ‘26, respectively. In addition, the Board of Directors have declared the Company’s 13th consecutive dividend, bringing the total for the year to $0.42 per share. And going forward and with the backlog and coverage that we have, we will continue to distribute dividends emphasizing on shareholder return. Throughout 2024, we have been working continuously in our fleet optimization, and while taking delivery of our first new buildings, into the fleet in the second quarter and third quarter of ‘24, we have also furthermore added seven vessels into our fleet. At the same time, we have offloaded five older and smaller vessels, of which the last one was delivered finally to its respective buyers, in the course of the fourth quarter ‘24, resulting in a book gain of around US$11 million. To support the fleet renewal, we have leveraged sustainable financing solutions as we raised an ECA covered green loan as well as successfully placed an unsecured sustainability-linked bond in the Nordic bond market. Overall, we retain a very robust balance sheet with low leverage and roughly two-thirds of our fleet being completely debt-free, which obviously provides us with great balance sheet flexibility going forward. Also looking ahead into ‘25, and as the market continues to be supportive, we will strongly focus on further driving our fleet optimization and retrofit program to improve the fleet composition and also enhance long-term shareholder value. Based on our backlog, we set our revenue guidance, to US$515 million to US$530 million and our EBITDA guidance to US$290 million to US$310 million. Turning to the next slide and looking at some KPIs for the fourth quarter, revenue, EBITDA as well as profitability are more or less in-line with the previous quarter. On a full-year basis, the trend shows that in ‘23, obviously, the legacy backlog has been benefiting stronger results relative to ‘24. However, I think it’s important to note that in the past nine months, the charter market has been very strong, increasing the revenue backlog again for the first time since 2023. From a balance sheet perspective, the delivery of the four 3,800 TEUs on long-term charter has been driving the increase in total assets. Simultaneously, we have raised, US$125 million in unsecured bonds and drew under a new US$30 million term loan that is secured by [two 35] (ph) TEUs, on long-term charter that we have acquired over the summer. Consequently, the leverage ratio has increased relative to the previous quarters, however, remains at low level of 28%. As mentioned before, the Board has declared a dividend of $0.09 per share, which will be paid in March 2025, and the operational cash flow generation remains strong with US$77 million. We continue to see a good fleet utilization with more than 97%, while OpEx has gone up based on some non-recurring CapEx re-classification, meaning we don’t expect to see this in the coming quarters to occur again. Looking at Slide #5 and reflecting on the current charter market dynamics, it is evident by the latest fixtures that we continue to experience very strong demand by the liner companies supporting rates and duration levels we have already seen over the past nine to 12 months. And since our last reporting, we have concluded four new fixtures, predominantly on smaller vessels in our fleet. However, still showing durations of mostly two years, and we also continue to have very encouraging discussions with our customers also on forward positions for early extensions. For the remainder of 2025, we only have nine vessels open for re-chartering, basically shielding our P&L to a large extent from any adverse market movements. On the asset side, as mentioned before, we have taken delivery of four 3,800 TEUs as well as the first green box new build, which is a 1,300 TEU methanol dual-fuel vessel on a 15 year time charter. In addition to the delivery of AS Paola to her respective buyers, we have sold with AS Fenja another vessel and already delivered here in January 2025 for a total consideration of 8.6 million. As the fleet optimization continues, we have now three methanol dual-fuel vessels in our fleet, of which two are yet to be delivered from their respective yards. We have 11 Eco vessels following the delivery of two 5,500 TEUs, and we have 29 vessels that have been or will be retrofitted significantly, enhancing the vessel’s efficiency. This is obviously a result of an extensive investment program, in the amount of around US$600 million helping us substantially to renew the fleet and also align with our ESG targets. Turning to the next slide, and looking at the recent balance sheet development, it is obvious that 2024 has been a very busy year. On the financing front, we have arranged and drawn under a number of facilities to support the fleet optimization efforts, most notably are the drawdown under our first ECA covered loan, the arrangement of our ECA covered green loan, and the US$125 million unsecured sustainability-linked bond. By re-shuffling some of our financing arrangements over the past 12 months, we have no debt maturity before the second half of 2027. In general, we follow a very strict financing principle, trying obviously to align leverage and cash flow visibility while at the same time keeping a substantial part of the fleet unencumbered or debt-free. Our financing silos, which you can see at the bottom of the slides, clearly outline the comfortable employment coverage, that we have against the heightened financing breakeven, while the debt-free silos feature both a comfortable breakeven level as well as sufficient headroom between those breakevens and the current employment cover. In MPCC, we eventually intend to carefully manage residual risk and position our assets best for the volatile shipping markets that we operate in. Looking at Slide #7, this quarter marks our 13th consecutive dividend, bringing the total number of distributions to US$977 million or NOK 22.35, which basically equates 120% of the current market cap, which is, I think, a very strong testament of our commitment to returning capital to our shareholders. For the full-year 2024, the dividend yield is 36%, if the share would have been acquired in January, of the same year. However, most importantly, and with the great earnings visibility going forward, we will continue to walk the talk and we’ll stick to our distribution policy paying 75% of our adjusted net profit continuing to emphasize on shareholder return. Turning to Slide #8, the last slide of the highlight section, we can see the strong operational cash flow as well as the investment into the four 3,800 that we took delivery of in Q4 ‘24. This is being offset by the corresponding debt drawdowns under the unsecured bond and the secured facility from First Citizen Bank in connection with the two 3,500 TEUs. Following the cash payment of the Q3 ‘24 dividends, cash overall slightly decreased by US$9 million. However, in addition, we retained roughly US$80 million in undrawn RCF capacity, basically being further implied liquidity. And all-in-all, we in MPCC remain very disciplined on the capital allocation side of things. And on that note, I hand back over to Constantin for the market update and the outlook section.
Constantin Baack: Thank you, Moritz. As just mentioned by Moritz, I would like to continue with the next agenda point and provide an update on the market, starting with the charter market and asset values. So please turn to Slide 10 where you can see the developments of charter rates as per the, HARPEX index, which is the blue line, as well as, Clarkson’s secondhand price index being the red line. Basically, since the start of the year, both have increased steadily, with charter rates being up around 150% and secondhand prices up a shade above 40% compared to the beginning of 2024. The fourth quarter, in particular has been characterized by elevated asset values and time-charter rates. And, if you look at the fourth quarter, we have seen, 61 secondhand transactions with around, [175,000] (ph) TEU being executed which is a reflection of that part mainly being feeder vessels. The time-charter market has plateaued in Q4 2024 with strong rates, certainly due to low vessel availability and also positive sentiment. And also during the first couple of months of 2025, where we have initially seen a slower start to the year until Chinese New Year, but over the past few weeks, the charter market and the S&P market has been fairly active with rates, periods, and also asset prices rather increasing than decreasing. In terms of secondhand activity again, 2024, looking at that year has been the third strongest year on record in terms of secondhand sales recorded with a total of 290 vessels and 1 million TEU changing hands. And despite a seasonal slowdown, there’s continued buying interest in the market as I’ve alluded to a minute ago. Looking at the time-charter index and how as far as that is concerned, it has recently moved sideways, but it has been gaining strength for amongst others the reason of limited supply because vessel availability is becoming less and less pronounced. And that is actually a good transition to the next slide. So please turn to Slide 11 when talking about vessel availability. On Slide 11, you can see the developments of forward availability of vessels, which has significantly dropped in 2024, and the substantial drawdown of open positions has helped charter rates to remain healthy as mentioned on the previous slide. And even after the election of U.S. President Trump, addressed, tried to secure vessels in advance. And as a result, forward rig fixing has increased in a Q4 2024, but also after Chinese New Year in 2025. As you can see on the right hand side, charter periods have also become longer, and Moritz has commented on some of our recent fixtures, earlier in the presentation, and the average durations of fixtures below 5,000 TEU increased to an average of more than 16 months. The actual figures are actually above that as the index is lagging behind. So, in terms of utilization, the non-operating owner’s fleets can still be deemed fully deployed, based on a very low count of idle vessels in today’s market. Now, let me continue with a view on the orderbook. Going forward, the markets in our opinion will be driven by three key topics and we’ll allude to some of these key topics in the next two slides. The first topic is discussed on Slide 12. Here we show, the existing fleet on the water, including age profile next to the actual orderbook by vessel size, and you can see there’s a box around the segment which is the MPCC focus. Nothing new, but the fleet, is very much skewed towards the large units. As we have stated before, we have the opinion that the fleet, in particularly vessels of 8,000 TEU and below are developing an age problem. The global fleet in that size bracket is getting older and older, and emission reduction demands, from environmental stakeholders are getting tougher by the year, including regulation. Some more facts on the orderbook. As of, February 2025, the orderbook-to-fleet ratio of the fully cellular fleet stood at around 27%, which is the result of continuous and considerable newbuilding contracting during the second half of 2024, including Q4. However, by comparison, MPCC’s segments feature a significantly lower orderbook-to-fleet ratio of around 3% only. On top of that, we need to consider the fleet renewal potential, which is indeed mainly present in the smaller ship sizes with around 26% to 28% of the feeder and Panamax vessels being our core segment, being more than 20 years of age. Consequently, going forward, we expect we will see more ordering also in our sales size bracket, and we consider it beneficial to own modern vessels in the sub 8,000 TEU segment. In addition to the orderbook dynamics just mentioned, and hence supply side pressure, we have listed a few key topics for the market outlook 2025 on Slide 13. In that respect, I would like to highlight two key topics. The likely most important topic for container shipping demand relates to the Red Sea crisis. It has obviously boosted, the charter market and freight market in 2024 and it has continued to provide tailwinds to charter rates as it stands today. So, a return to the Red Sea would see average transport distances declining by around 12% compared to last year. So, the shortened supply chains could trigger a domino effect with reduced weekly cargo demand while networks are being rearranged. Additionally, vessels would be sorted out of affected trades and need to look for new employment. However, a continuous bypassing of the Red Sea would leave the TEU-mile booster of 12% in place and keep the operators vessels in high demand. So that is a key topic, it has been key for 2024. It will be highly relevant for 2025, and the jury’s out to see how the development will continue. Another key topic refers to U.S. tariffs, with the new U.S. administration at work, the trade tensions between the U.S. and China and other countries have already intensified, including Canada and Mexico. On the one hand, tariffs and other regulatory measures create uncertainties among market participants, in particular shippers, potentially dampening investment and future trade growth. So that is certainly an uncertainty that remains to be observed carefully in the month and quarters ahead. However, ultimately, they render the international exchange of goods and products more expensive for producers and consumers alike. And all these measures will, in all of you, not stop container trade as it is just another way that the U.S. has identified to generate cash from the immense amount of U.S. foreign trade at the expense of producers and consumers. So, there are also a few reasons to remain optimistic. Again, the Red Sea situation is still uncertain. However, there are certainly some wild card events coming our way in 2025. Now, let me continue with the Company outlook section of the presentation. Let’s move to the next slide, Slide 15, where I would like to start with our charter backlog on the left hand side. You can find some details there on our forward coverage in a commonly used format. So by year, including the overall backlog of 1.1 billion, the respective contracted forward revenues by year in the dark blue boxes and in the columns you can see the open days and fixed days, on an operational basis for the years ahead. As explained by Moritz in detail, we have strategically utilized the strong charter market during Q4 2024 and throughout the year, locking in solid period charters at very healthy rates for the existing fleet and also for some of our modern Eco vessels that we acquired earlier this year. Hence, on the back of this, we have added a substantial volume to our backlog, and we are looking at 1.1 billion, end of the year. In terms of coverage, for the remainder of the year, we have 92% of all operating days covered. And even for 2026, we already have around 64% of the operating days covered. When you compare that with previous years in 2024, on our annual earnings call wrapping up the year 2023, the backlog was more in the vicinity of 78% for that year and 36 for the year thereafter. So, we are actually have the best coverage that we ever had going into 2025 with high visibility and a very strong book of counterparties that you can see on the right hand side. When looking at the counterparties, as you can see, we have more than 90% of our charter contracts with top 10 liner companies all backed by long-term cargo commitments. The next slide now shows the upcoming and fixed charter positions for our fleet in 2025 and 2026.We have 13 positions open until the end of potentially open, I should say, until the end of the year 2025, of which four vessels highlighted in gray here have a more flexible redelivery window. Based on the present rate environment, we expect that these are more likely 2026 positions in fact, and therefore, we’ll roll over into the next year, meaning we’ll probably have nine to 13, positions open for this year. For 2026, we have 28 charter positions open to distribution, particular of the 25 positions by quarter are shown on the very left hand side of this overview. On a number of 2025 positions, we are presently already in discussions with some of our charter clients regarding early extensions, and we also see quite some buying interests in some of the vessels. And as we always do, we are comparing the achievable sales price with a value in use for an asset, i.e. we compare the option to possibly sell, provided the sales can be developed with the option to charter out the vessel. And taking rational and prudent decisions in that respect has been the backbone of how we have navigated MPCC in the market, and we will continue to do so in the best interest of both our customers and also our shareholders. Now, let me continue with a slide setting out our value proposition and I would very much like to run you through this little bridge here on Slide 17. As we firmly believe MPCC has a very strong value proposition including significant upside going forward. And, let me tell you why I think that is the case going from left to right here. We have looked at the net interest-bearing debt as per the end of the quarter, the current market cap based on current share price to arrive at an enterprise value of around 953 million. We have then compared that with the projected EBITDA backlog that we have on our fleet today, and then added the market value of the vessels. And, it is worth noting that the current enterprise value is fully covered by the projected EBITDA backlog and the recycling value of our fleet, meaning no value being attributed to our fleet above and beyond the existing contracts and the recycling value of the fleet, providing firstly, a very solid protection, but secondly and very importantly also a very significant upside potential from the existing fleet of 61 vessels and also further earnings capacity. So, we see both a very good downside risk protection, and we see a significant upside when looking at MPCC and certainly looking at some of the charter consultations that we’re currently discussing with some of our customers, which would immediately add value, but also at what price levels one could potentially dispose individual assets. Now, let me now look a bit, take a step back and let me reflect on some of our strategic developments over the past years and how we will continue to navigate and build MPCC going forward in order to create value regardless of market environment, on Slide 18. As you can see, and we have used the slide in the past, but it is a good reflection of the transition and of where we are today and also our path going forward. Looking at the left hand side, Q3 2021, we have looked at a revenue backlog of $1.1 billion. We had not commenced our distribution and executing our distribution plan. We had only three debt-free vessels and a leverage ratio of 35%, while at the same time, 100% of our fleet were conventional vessels. Today, we have again, a revenue backlog of $1.1 billion that we have been able to strategically build up over the past, quarters and years. And at the same time, we have followed a clear capital allocation strategy that addresses all key areas of our business. Firstly, we have returned significant capital to our shareholders in form of dividends as we have declared close to US$1 billion in dividends over the last 13 quarters. Secondly, we have strengthened our balance sheet by reducing our leverage and freeing up collateral, and we are now looking at 39 debt-free vessels, which represents around two-third of our vessel portfolio. Hence, we have a very robust balance sheet including significant investment capacity going forward. And finally, as explained by Moritz earlier in the presentation, we have also optimized and renewed our fleet, and we have been disciplined, but we have also made use of market opportunities to create additional value for MPCC and our shareholders. Now before we open the floor for questions, let me summarize some of the key takeaways from today’s call. Firstly, we have seen a very solid, performance in Q4 2024, very importantly, also going into 2026. On the back of which we have communicated our guidance for 2025 of $515 million to $530 million in revenues and $290 million to $310 million in EBITDA. On the basis of a rock solid balance sheet with significant investment capacity to carry out accretive transactions, we believe we are in a very good position to support our fleet renewal strategy going forward. And finally and going forward, we will continue to follow this path with a very transparent and clear set of principles to be a reliable partner to our stakeholders, to our charter customers, to our shareholders, and to our employees, onshore and onboard of our ships. And with that said, I would like to open the floor for questions, and thank you for the interest so far.
Q - Unidentified Analyst: Okay. Turning to the Q&A now. A few questions have come in during the presentation. First question from, Evan. Can you give guidance on the expected depreciation, for the course, quarter ‘25 and full-year 2025?
Constantin Baack: I presume that question is relating to the somewhat lower depreciation we have seen in the fourth quarter of ‘24. This is due to an IFRS effect, IFRS depreciation effect on the four 3,800 TEU vessels that we have acquired. And we expect those implications on the balance sheet in P&L, to normalize during the full-year of 2025.
Unidentified Analyst: Next question is in regards to what we would call, fleet optimization from [Niels] (ph). Can you add some flavor to what you’re looking for in potential deals, size of vessels, age profile, attached charter contracts?
Constantin Baack: I think the answer is, it’s obviously, it’s derived from where the market is. Right now, we are moving within the market environment that is, from an historical perspective closer to the peak. But nevertheless, we try to execute opportunities as we’ve done in the second half of ‘24. I just mentioned the four 3,800 where we manage to line up long-term charter contracts. So eventually, for us it’s all about managing residual risks. Generally speaking, obviously, we try to drive a fleet renewal over time. Hence, we would rather look at younger and more modern Eco vessels from a secondhand perspective. If there’s a unique opportunity, as we’ve seen last summer to acquire 15 year old vessels and have a full de-risking by a long-term charter, we would obviously look at those vessels as well. But the focus clearly is on younger secondhand tonnage and potentially also new builds. Obviously, needless to say, we would not order newbuilds on a speculative basis. We would always try to combine with the long-term charter and provide some sort of de-risking. I think in terms of vessel size, we would probably gradually look into slightly larger vessels, not necessarily saying we would look beyond 8,000 or 9,000 TEU, but slightly larger within the context of 1,000 to 8,000 TEU. And that’s also why we had two good examples again last year with the 3,500 and 3,800 TEU vessel that we acquired and fitted perfectly into our fleet.
Constantin Baack: All right. Then there’s another question from [Steen Hartwig] (ph).
Unidentified Analyst: Looking at your execution track record as described on Slide 18, how has the age profile of the fleet changed over this period from 2021 to today, basically?
Moritz Fuhrmann: I don’t have the exact number, but, generally speaking, we have obviously replaced more vintage tonnage with more modern tonnage. We have done some newbuildings. So, I would say in rough terms, we are now somewhere between 14.5 years and 15 years of age on our fleet, and we have probably had the same age profile in 2021. So, we are constantly kind of renewing the fleet. And I think it’s all about maintaining not just, a high, backlog in terms of EBITDA backlog and revenue backlog, but also having kind of a long tail in terms of being able to generate earnings for a longer period and hence increase the value of the Company. And that’s the way we look at it. How many operating days over a useful life of an asset are we actually having? That’s another way of looking at age, obviously. But that’s the way we look at it. And in general terms, we have over the last three years probably kept the same age profile, although three years have passed. Then there’s another question by [Niels Thomasen] (ph).
Unidentified Analyst: Has the trend in charter durations changed after the Israel-Hamas ceasefire was announced?
Constantin Baack: I would put it differently. And as mentioned during the presentation, we have seen a bit less activity in terms of chartering activity. Not referring to rates or periods in any instance, but, that ahead of Chinese New Year, we have seen less activity. After Chinese New Year, we have seen more activity. The ceasefire has or the ceasefire announcement has obviously led to a situation where there was at least for a couple of days, very limited activity because everyone was, especially the liners, were looking at what that would bring and how that would actually develop going forward. But in general, and as I’ve mentioned during the presentation, we have actually seen activity picking up, and that is applicable both in terms of number of charter requirements in the market by the liners after Chinese New Year, so over the last two to three weeks. And, also in terms of slightly higher rates and slightly longer periods. So, we’re actually seeing a positive impact on the charter market over the last three weeks. The sustainability of that remains to be seen, but where we are today, that is quite firm. And, we’re also seeing more interest from an S&P standpoint. So, people are interested in acquiring ships, at levels which are in an historical context, obviously, quite elevated and not unattractive to put it that way. So overall, in terms of charter rates and asset values, we are seeing a firm charter market and a firm, S&P market at the moment. Going forward, that obviously remains to be seen, but the availability of tonnage is very limited as alluded to in the presentation, way less than in the past couple of years. So, that is obviously a stabilizing factor.
Moritz Fuhrmann: Then there’s the next question. Thank you for the presentation with $290 million to $310 million projected EBITDA. Thus, the projected dividend is 70% of that range. First of all, the dividend is 75% and, the dividend is not derived from the EBITDA. EBITDA is not an official accounting figure. Our dividend is linked to the net profit of the Company. Obviously between the EBITDA figure and the net profit of the Company, there’s a few line items that needs to be considered. So, the answer clearly is no. Obviously, you can have a look at some of the past performance in terms of cost items to maybe get a proxy of what could be a dividend and also reminding that the dividend is being resolved by the Board on a quarterly basis. But obviously since we have formulated very clearly what the dividend policy is and having a strong backlog, there’s a certain likelihood of dividends also being paid going forward. But again, it’s being derived from the adjusted net profit of the P&L, not the EBITDA figure.
Moritz Fuhrmann: And there’s another question from [Clement Mullins] (ph).
Unidentified Analyst: Could you talk a bit about the returns you are seeing on efficiency retrofits on your existing vessels? What kind of IRRs are you realizing?
Moritz Fuhrmann: Let me start with the IRR question because that is not that easy to derive. I mean, obviously, the way we carry out the retrofit measures, we in most instances, I would say 90% of the retrofits that we have carried out, we have done that hand in glove with our chartering customers, in exchange for something. And something can be participation in the CapEx. It can be extension of the charter. It can be or those are the most relevant aspects or contributions. And we’re looking more at it in terms of payback. What kind of EBITDA can we actually log in, and how can we actually de-risk that investment. And we’re basically getting more out of it than we have invested in each and every case. And in addition, afterwards, we have a better ship. So that’s the IRR part of things. Secondly, for our customers, the payback is usually somewhere between one to two years depending on the specific ship and on the trading area, etcetera. And in terms of efficiency, it obviously depends on what you do, right. Sometimes we do smaller retrofit measures. But if we do kind of the full lot which means, paint system, bulbous bow, propeller, etcetera, that depending again on the ship size, but we have seen efficiency gains of somewhere between 15% to 25%, which obviously again depends on the trading profile and on the trading speed, etcetera. But that is obviously a very significant, savings in terms of cost, in terms of emissions. And, it is basically the way we operate being very closely associated and linked with our charter customers. And I think that is also a unique aspect where and that has also only been done by a limited number of container tonnage providers hand-in-hand with the charter customers. Then there is one more question. Any thoughts on MPCC’s capital allocation strategy? Should the market deteriorate in the next 12 to 24 months? Obviously, very relevant question, and we have, we have always been quite clear in communicating the capital allocation strategy. We have been in the beginning of MPCC’s development in 2017 and 2018. We have deployed a lot of capital, bought a lot of ships, and have over the recent years been more in harvesting mode, with a more balanced capital allocation strategy, meaning a clear commitment to returning capital investors, but at the same time also reducing leverage, making our balance sheet highly flexible and reducing debt, in order to gain a low risk profile, but at the same time also have sufficient investment capacity for opportunities that may arise and at the same time renewing the fleet. And that is to the point of I think it was Slide 18 in the presentation where we have explained how a balanced capital allocation strategy can work. Of course, should the market deteriorate, we do believe, first of all, we are quite isolated from any market developments this year with only 8% of the days open with a very clear backlog and high earnings visibility. We actually believe that could be an attractive opportunity to invest. So, factoring that into our balanced capital allocation strategy that would be, obviously, also an emphasis on possibly investing. However, I think we have shown over the last eight years that we have been very clear in communicating what we do and when we do it, and adjusting to market realities. And, we will stick to that plan when it comes to capital allocation going forward. Then there is one more question by [August Klem] (ph).
Unidentified Analyst: Familiar question but how are you thinking of share buybacks these days given that EBITDA backlog and scrap covers the current enterprise value?
Moritz Fuhrmann: Of course share buyback is something that we consider. We have it also baked into our distribution policy, which includes also the optionality to possibly make use of some of the, let’s say, distribution potential within the policy to also buy back shares. We have also done some share buybacks in the past. And clearly, that is something that we monitor very carefully. But at the moment, the market is obviously highly volatile. So we will definitely play our cards wisely on that aspect. Certainly, the momentum at the moment is not particularly favorable, although earnings are very stable, not just our earnings, but also the charter market and the asset market. So, we would definitely, think about that if, the vessels that we have sold most recently. We’ve probably sold them at an implied NAV per share, somewhere between NOK 25 and NOK 30, I would say, if not above that. And seeing the share trade at [‘18 ‘19] (ph) that is obviously something to seriously consider ours. So, yes, we are looking at it. Yes, we are considering it, and it might be in the mix going forward.
Unidentified Analyst: Then there’s one question regarding can you talk a little about the effects, you can face with a new proposed U.S. port fees? How many port calls do you have in the U.S. and how many port calls do you have in the U.S. per year?
Moritz Fuhrmann: Obviously, that is a moving picture, so to say, particularly because, trading pattern changes over time. I don’t have the exact number for port calls in the U.S. for last year. We have a number of ships trading in the Americas. That’s probably 25% of the fleet, maybe 20%. If you look at our overall fleet of above 60 ships, we have below one-third of the vessels actually being Chinese built. So, there is exposure, and I guess if these figures become reality, that clearly has an impact. Obviously, the port costs are not on our account, but it’s on the account of the liner operator. So, that’s, I think, very important to note. But, in general, obviously, there is an exposure. Having said that, most of the, I wouldn’t call it noise, but most of the, tariff threats that have been brought forward over the last couple of weeks and months, have not materialized, yet. That doesn’t mean they will not materialize going forward. But, at least my personal view is that this is also a way to strike a deal, on certain aspects, between the U.S. and the respective counterparties. So, it is something to obviously carefully consider and carefully observe, but, I think it’s too early to draw a full conclusion on the impact that might have. Again, we will be exposed if that becomes reality with our fleet, but it’s not necessarily our cost.
Unidentified Analyst: There’s, one question on financing. What was the main reason for, the sale and leaseback?
Constantin Baack: I presume the question is referring to the BoComm lease that we have concluded in the second half of ‘23. Obviously, a sale and leaseback is a particular financing instrument, that we wanted to add to the roster, so to speak. The attractiveness of a sale and leaseback is obviously it comes at a relatively high leverage and low covenants. But generally speaking, from a leverage strategy, we obviously try to broaden the lending universe as much as possible. So yes, we’ve done a sale and leaseback, but we also have concluded on CA covered financing. We’ve done a green loan first half of last year. We concluded basically we tapped a Nordic bond market, placing an unsecured sustainability-linked bond there. We are very close in concluding a financing in the Japanese markets. We’re entertaining relationship with European lenders and American lenders. So, you can see we have a broad variety of both debt instruments, but also lenders that that we can tap, which obviously, looking ahead and also in-line with our fleet renewal and fleet optimization strategy is of crucial importance to execute on those opportunities.
Constantin Baack: All right. We’ll wait one more minute, but there are no further questions at this stage. All right. That seems to be, the case that there are no further questions. I would like to thank everyone for their attendance and for their interest. And, at MPCC, we’re looking forward to, 2025, and stay tuned. Looking forward to staying in touch. All the best. Take care. Bye-bye.